Operator: Ladies and gentlemen, thank you for standing by. Welcome to Gamida Cell’s Conference Call for the Full Year Financial 2020 Results. My name is Brandi, and I’ll be your operator for today’s call. Please be advised that this call is being recorded at Gamida Cell’s request. Now, I would like to introduce your host for today’s conference, Mr. Josh Hamermesh, Chief Business Officer. Please go ahead.
Josh Hamermesh: Thank you, Brandi, and good morning, everyone. Welcome to today’s call, during which we will provide an update on the Company and review our financial results for the full year of 2020. Earlier this morning, we issued a press release summarizing our financial results and progress across the Company, which is available on our website at www.gamida-cell.com. Here with me on our call today are Julian Adams, Chief Executive Officer; Ronit Simantov, Chief Medical Officer; and Shai Lankry, Chief Financial Officer. Michele Korfin, our Chief Operating Officer and Chief Commercial Officer; and Tracey Lodie, our Chief Scientific Officer, are also on hand for the Q&A portion of the call following our prepared remarks. During this call, we may make forward-looking statements about our future expectations and plans, including clinical development and commercial objectives, the therapeutic potential of our product candidates, our operational plans and strategies, and projected operating expenses and cash runway. Our actual results may differ materially from what we project today due to a number of important factors, including the considerations described in the Risk Factors section of our Form 20-F and in other filings that Gamida Cell makes with the SEC from time to time. These forward-looking statements represent our views only as of today, and we caution you that we may not update them in the future, whether as a result of new information, future events or otherwise. Now, I’d like to turn the call over to Julian.
Julian Adams: Thank you, Josh. And thanks to everyone for joining us this morning. At Gamida Cell, we are at the forefront of developing and commercializing potentially curative medicines for patients by harnessing our proprietary NAM cell expansion technology. This platform provides us with an opportunity to create therapies that could redefine standards of care for patients with life-threatening diseases. 2020 was an important year for Gamida Cell as we made significant progress across our entire pipeline, including omidubicel, which is poised to become the first FDA approved cell therapy for bone marrow transplantation. And GDA-201, an innate natural killer cell or NK cell therapy. Today, we’ll review both programs and summarize our progress around plans to bring omidubicel to patients in the commercial setting, pending FDA review. Starting with our lead program, omidubicel has completed a pivotal randomized Phase 3 study. This global trial evaluated omidubicel versus standard cord blood in patients with hematologic malignancies, who needed a bone marrow transplant, but did not have a suitable match donor. The primary endpoint of the study was time to neutrophil engraftment, or the time it took for the white blood cells to recover following transplantation. In 2020, we reported the omidubicel Phase 3 data including primary and secondary endpoints, demonstrating its clinical benefit and made important advances to be launched ready upon FDA approval. Following our December Type B meeting with FDA, we now have a very clear understanding of the omidubicel commercial manufacturing requirements. We are on track to fulfill these requirements to submit the full BLA by the end of 2021 and meet the commercial supply needs. As we continue to advance omidubicel for a potential launch and prepare to become a commercial organization, we are establishing key commercial capabilities, including the creation of Gamida Cell Assist a program designed to support a positive patient and transplant center experience. With over 13,000 patients with hematologic malignancies eligible for transplant annually and approximately 200 transplant centers in the U.S., we plan to focus on patient access and support of every individual and their caregivers at each step of the process. In addition, we have conducted extensive market research, and I’ve been encouraged by the feedback from physicians and payers indicating the opportunity for omidubicel to improve safety and efficacy outcomes. Following FDA approval, the market research supports that omidubicel will be an important therapy for all patients in need of an allogeneic stem cell transplant, who do not have access to an appropriate match related donor. Omidubicel cell also has the opportunity to increase access for patients who are not currently able to find a match. Moving to the rest of our pipeline, we’re also pleased to report significant progress for GDA-201, our first NK cell-based product candidate. Natural killer cells are innate immune cells that hold tremendous promise for treating cancer. A challenge in the field includes the ability to expand NK cells in culture while preserving their functionality. Our NAM based technology addresses this challenge and potentially improves their direct tumor killing potential and antibody-dependent cellular cytotoxicity known as ADCC. GDA-201 has demonstrated impressive proof-of-concept in our Phase 1 study, which was designed to assess the safety of GDA-201 in combination with a monoclonal antibody in non-Hodgkin lymphoma, or multiple myeloma. The data from our ongoing Phase 1 study has demonstrated striking early signs of efficacy with multiple durable complete responses, while being very well tolerated in patients with advanced lymphoma. We have now developed a cryopreserved formulation in support of our vision to support a multicenter off-the-shelf allogeneic cell therapy with durable deep responses and a favorable safety profile. Furthermore, we are leveraging the NAM expansion platform to develop a pipeline of gene edited NK cell product candidates with enhanced function for both hematologic malignancies and solid tumors. Based on the impressive clinical data generated by both omidubicel and GDA-201, we have significantly strengthened our financial position by raising approximately $220 million in the past year. These proceeds will support the development of both programs and provide sufficient capital through the potential omidubicel product approval and launch by mid-2020. I want to conclude my introductory remarks by acknowledging the challenges of the past year as we navigated through the COVID-19 pandemic and the resilience and dedication of the Gamida Cell team as we work to bring cures to patients. I’ll now turn the call over to Ronit Simantov, our Chief Medical Officer, to provide further details on omidubicel and GDA-201. Ronit?
Ronit Simantov: Thank you, Julian, and good morning, everyone. This morning, I’ll review our clinical programs and highlight the data we presented throughout 2020 on both omidubicel and GDA-201. I’ll start with the Phase 3 study of omidubicel. In May 2020, we were pleased to report that the study met its primary endpoint time to neutrophil engraftment. In October, we reported the Phase 3 study also met all three pre-specified secondary endpoints, platelet engraftment, infections and hospitalizations. These positive study outcomes, as well as additional exploratory endpoints were presented in a peer reviewed setting for the first time at the TCT meeting a few weeks ago. And there will be an encore presentation at the presidential session of the European Bone Marrow Transplant annual meeting next week. The trial was well conducted and rigorously designed study, analyzed on an intent-to-treat basis. 125 patients were randomized, 52 with omidubicel arm, and 53 for standard cord blood. Demographics and baseline disease characteristics were well balanced and reflected a diverse population of patients with hematologic malignancies in need of allogeneic bone marrow transplant. Clinical outcomes supported the superior neutrophil engraftment demonstrated in the primary endpoint analysis. Specifically, patients randomized to omidubicel had fewer serious bacterial, fungal and viral infections than the comparative group. Patients also spent significantly less time in the hospital in first 100 days after transplant. Importantly, omidubicel was generally well tolerated. And in particular, the incidence of both acute and chronic graft versus host disease, which has been shown to be lower in patients transplanted with cord blood than in other modalities, was statistically similar in the two arms. While the study was not designed to detect a difference in relapse or mortality endpoints, we reported the results of these analyses, including non-relapse or transplant-related mortality, which was 11% for patients randomized to omidubicel and 24% for patients randomized to comparator, and overall survival, which was 73% in the omidubicel arm and 52% for control. The data we presented in 2020 continued to strengthen our confidence in the clinical potential of omidubicel. I want to thank the investigators, patients and caregivers that participated in our study. We are grateful for their support as we move the field forward. With these data in hand, we anticipate submitting the BLA for omidubicel in the fourth quarter of this year. We believe that omidubicel also has potential to treat patients with diseases beyond hematologic malignancies and are currently investigating omidubicel in patients with severe aplastic anemia, a rare life-threatening blood disorder, in an investigator sponsored Phase 1/2 study being led by Dr. Richard Childs at the National Institutes of Health. At the recent American Society of Hematology Conference, we presented data from a total of eight patients, three who underwent stem cell transplant with omidubicel plus haploidentical stem cells, and five patients who received omidubicel as a standalone graft. The data showed that transplantation with omidubicel following reduced intensity conditioning was generally well-tolerated and led to rapid engraftment. With a median follow-up of 10 months, seven of the eight patients had early and sustained engraftment and were no longer dependent on transfusion. Neutrophil and platelet recovery occurred at the median of 10 days and 31 days, respectively. We are encouraged by these data in patients who are at high risk for graft failure with conventional cord blood transplant. This study is still ongoing. As Julian mentioned, in addition to omidubicel, we are advancing our first NK cell therapy, GDA-201. We have demonstrated impressive proof-of-concept in our Phase 1 study, which is designed to assess the safety of GDA-201 in combination with a monoclonal antibody in patients with non-Hodgkin lymphoma or multiple myeloma. The study is being conducted by Dr. Veronika Bachanova at the University of Minnesota. At ASH, we presented safety data from 35 patients with relapse or refractory disease, 19 patients with non-Hodgkin lymphoma and 16 with myeloma. GDA-201 was generally well-tolerated with no dose limiting toxicity, no GvHD and importantly, no neurotoxicity observed. We were also very impressed with the promising clinical activity at all doses evaluated in patients with lymphoma. These patients were heavily pre-treated with the median of three prior lines of chemotherapy. Of the 19 patients with lymphoma, 13 had complete responses and 1 had a partial response for an overall response rate of 74% and a complete response rate of 68%. Responses were observed in patients with follicular and diffuse large B-cell histologies. We’re developing a cryopreserved formulation and will be submitting our IND in the second half of this year. This will allow us to conduct a multicenter, multi-dose study to explore the potential of GDA-201 as off-the-shelf cell therapy in patients with lymphoma. I’m very proud of our team and their dedication to advancing our clinical study during the global pandemic. I’ll now turn the call over to Shai to review our financial results.
Shai Lankry: Thank you, Ronit, and good morning, everyone. Today, I will summarize our financial results for the full year of 2020. As of December 31, 2020, we had total cash and cash equivalents of $127.2 million, compared to $55.4 million as of December 31, 2019. As Julian mentioned, during 2020, we were able to significantly enhance our capital position with raising total of $144 million in gross proceeds from our May and December public offerings. In addition, in February 2021, we announced a $75 million financing with Highbridge Capital Management. Those financing transactions extend our cash run way beyond the potential BLA approval of omidubicel expected by mid-2022. Research and development expenses for the year were $41.5 million, compared to $31.5 million in 2019. The increase was mainly due to advancing the GDA-201 clinical program, and clinical activities related to concluding our Phase 3 trials, as well as additional headcount within the R&D organization. Commercial expenses in 2020 were $8.7 million, compared to $4.7 million last year. The increase was mainly attributed to omidubicel launch readiness activities, which includes addition to our commercial leadership team. General and administrative expenses were $12.2 million for 2020, compared to $12.1 million for 2019. The increase was mainly attributed to $1.3 million increase in professional services expenses, including legal insurance, offset by a decrease of $1.2 million in travel, and non-cash compensation expenses. Finance expenses, net, were $10.4 million for the year, compared to finance income, net, of $13.8 million in 2019. The increased expenses were primarily due to non-cash expenses, resulting from revaluation of warrants owned by our shareholders, and the revaluation of the Israeli Innovation Authority royalty-bearing grant liability. Net loss for the year was $72.7 million, compared to a net loss of $34.4 million last year. We expect that our cash used for ongoing operating activities this year will range from $100 million to $120 million. We anticipate our current total cash position will support our ongoing operating activities into the second half of next year. This cash runway guidance is based on our current operational plans and excludes any additional funding that may be received or business development activities that may be undertaken. With that I will turn the call back over to Julian.
Julian Adams: Thanks, Shai. We are dedicated to finding cures for patients with hematologic malignancies and blood disorders. And we’re excited about the opportunities ahead. With omidubicel, we expect to submit the BLA in the fourth quarter of this year and are committed to being launch-ready at the time of approval. With GDA-201, we have very compelling data in lymphoma and are planning to initiate the Gamida Cell sponsored clinical study, which could transition into a registrational trial, if the data are consistent with our Phase 1 results. So, as you can see, we expect 2021 to be a transformational year for Gamida Cell. And we look forward to updating you on our progress throughout the year. Now, we will open the call for questions. Brandi?
Operator: [Operator Instructions] Your first question comes from the line of Ted Tenthoff with Piper Sandler.
Ted Tenthoff: Great. Thank you very much, and congrats on all the progress. Julian, maybe you can just walk us through sort of what’s being done both in terms of preparing for the BLA submission, but also concurrently with respect to commercial build-up as you prepare for omidubicel? Thank you.
Julian Adams: Okay. Let me begin with the modules that are being prepared for the BLA submission. The non-clinical module is complete and ready. And the clinical module will be completed in the near-term. And lastly, the CMC module will be completed by the fourth quarter, all of which will be necessary for BLA submission. Let me turn it over to Michele to talk about our commercial preparations.
Michele Korfin: Excellent. Thank you, Julian. And good morning, Ted. In regards to commercial, there’s really been three key aspects we’re focused on. The first is leaders, and Shai alluded to this in his prepared remarks. We brought in some outstanding leaders on the commercial team, Rocio Manghani, leading Market Access with great experience in hematology and cell therapy; Linda Stamler, was recently brought on to lead Marketing and Account Management, and they joined a couple of our other already established leaders. So, we have a great leadership team in place. The next key area was to finalize the commercial strategy upon FDA approval, who have great market insights that support the fact that upon FDA approval on the omidubicel will be a very important therapy option for patients who need an allogeneic stem cell transplant who do not have access to an appropriate matched related donor. It’s a very exciting market opportunity for omidubicel, and we are very clear in terms of what now needs to be done to execute on that strategy. And that’s really the third part. So, we’ve got our launch readiness plans underway. Really that all encompassing thought around making sure everything we’re doing is leading to a positive experience for the patients and for the transplant centers, we’re focused on four key aspects, making sure we educate the transplant centers, making sure that we educate the payers, the third is making sure we have that strong support system through Gamida Cell Assist, and finally, our commercial manufacturing readiness. Julian alluded to this in his prepared remarks. We’re moving along very nicely with our new facility in Israel and Kiryat Gat. We’re also partnering with Lonza for their readiness for the BLA. So, we’re very much looking forward to the opportunity to introduce omidubicel to patients upon FDA approval.
Operator: Your next question comes from the line of Jonathan Miller with Evercore ISI.
Jonathan Miller: Hi, guys. Thanks for taking my question. I’ll just follow up a little bit on that commercial ramp question. Obviously, the BLA in 4Q, you’ve got some time to prep. And I understand you’ve got a strategy in place now. How do you think about spend ramping throughout the year as you hire folks and how big a sales team will you need to achieve your commercial plan? Then secondly, I’d love to ask about GDA-201. One of the interesting factors about this product is naturalistic expansion of the NK cells with NAM. But now, you’re introducing additional -- later in the pipeline, you’re introducing additional engineering in gene editing to these products. How do you think about balancing, adding that functionality, while maintain a healthy cell profile and maintain a biological profiling if that product is there?
Julian Adams: So Michele, please address the first question. And thank you, Jonathan. And I will address the NK questions.
Michele Korfin: Yes, absolutely. Thank you, Jonathan. Good morning. So, in regards to the ramp-up and personnel, obviously, the personnel in the field will be key to our success. The good news for us is this is a very efficient launch from the standpoint of personnel and also through lead spending. So, when you look at the target, so let’s start with the transplant centers. There’s roughly 200 FACT accredited transplant centers in the U.S. We know many of these centers quite well. Ronit and her team had direct experience with at least 20 during the clinical trials. And then, we certainly know more centers, so. And we also know that 70 centers make up about 80% of the transplants in the U.S. So, we anticipate a very targeted and efficient launch in terms of field force. In terms of actual numbers, so our field personnel will fall into three main categories with obviously supporting groups. The first will be on the commercial side, the account management team. If you look at benchmarks of other cell therapy launches in the U.S., you’re probably looking at 20 to 25 personnel that would be needed to effectively launch the therapy and have that positive patient experience. We’ll also have individuals focused on the payer space led by Rocio Manghani that’s also a relatively small footprint because the U.S. private payers are relatively consolidated. So, probably about 10 personnel there. And then, we’ll have an outstanding group led by Ronit’s medical affairs colleagues that are medical science liaisons who are supporting the educational initiatives with both the transplant centers and the payers. So, we have a clear path going forward. And again, based on our experience and cell therapy, it will be a very efficient launch from a headcount spending standpoint. Julian, I’ll turn it back to you.
Julian Adams: Turning to the NK cells. So, our first product candidate GDA-201 is a non-engineered expanded cell therapy in combination with rituximab for lymphoma. And let me invite Tracey to talk about our plans for engineering the NK cells, particularly as we consider addressing solid tumors.
Tracey Lodie: Sure. Thank you, Julian. And thanks for the question, Jonathan. And with regard to your first part, we’re still, as Julian said, expanding up our NK cells with nicotinamide. And because of this, we have unique potential in our NK cells to maintain receptors that are on the cell surface, such as CD62L, which we believe uniquely causes ourselves to home into T-malignancies and lymphoid organs, and as well as very important CD16 receptor for ADCC. So, additional editing efforts will maintain those properties and function of the cells that we see with NAM, but will further enhance what we think will allow ourselves to survive and suppresses tumor microenvironment by editing off some negative receptors and negative co-stimulatory receptors, just to make the cells potentially more active and persistent in the tumor microenvironment as we expand upon this research effort in the lab this year to make these engineered products. So, I’ll turn it back to Julian.
Julian Adams: Have we adequately answered your question, Jonathan?
Jonathan Miller: Well, I look forward to seeing how that program develops and exactly how those behave. And indeed, for now, I think that...
Julian Adams: Yes. We haven’t named specific targets yet. We will do so at an appropriate time in the future. But, right now the research is ongoing under the Tracey’s supervision. And we’re very encouraged about what we’re seeing.
Operator: And your next question comes from the line of Jason Butler JMP Securities.
Roy Buchanan: Hi. It’s Roy on for Jason. Thanks for taking our questions. Sorry if I missed these in the prepared remarks. But, anything at the EBMT meeting next week that we can expect that’s different from the TCT meeting? And then, for omidubicel, just wondering if you can guys can disclose how many patients have been treated in the expanded access? Then, I had a follow-up on 201? Thanks.
Julian Adams: Ronit, this is for you.
Ronit Simantov: Thanks. So, with respect to the EBMT meeting, we’re excited at the opportunity that the data will be presented in the European forum. And it’s being highlighted in high-profile session, the Presidential session. There will also be a panel session in which the investigators, the European TI [indiscernible] who will be participating in a Q&A session live later on that same day. In terms of the data themselves, it’s basically the same data set that were presented at the TCT meeting, but of course, with some added nuance from Dr. Sanz, in his remarks and his panel discussion. In terms of expanded access, we haven’t been updating on the number of patients or the progress at this point. The study is open at six sites across the U.S. It’s opening in a variety of sites, and there’s enthusiasm from investigators to enroll patients. In the future, we do hope to provide some detail about the patients and their outcomes. But, we haven’t been giving those updates on an ongoing basis.
Roy Buchanan: And then for 201, what remains gating for the IND filing? And here I’m on this that cryopreserved formulation has been finalized, then the FDA going to sign off on the formulation prior to the formal, full IND filing, or how does that work? Thanks.
Julian Adams: Tracey, would you address that, please?
Tracey Lodie: Sure. Thank you, Julian. In terms of what’s left before we file the IND, it really is CMC section for GDA-201 and finalizing their cryo formulation. The cryo formulation has been finalized in a lab. It’s now just a matter of -- and it’s scale for clinical scale. It’s now just a matter of manufacturing, enough of that for our clinical batches for stability at our GMP facility, which will be in Israel, before we’re able to file the IND. And yes, presumably, we’re in active discussions with the FDA. So, both the protocol and the final formulation of off the shelf our product that’s cryopreserved will be discussed and agreed upon with them.
Operator: Your next question comes from the line of Gregory Renza with RBC Capital Markets.
Gregory Renza: Hey Julian and team. Congratulations on all the progress, and thanks for taking my question. Julian, just in regards to the module that -- just wanted to confirm, I believe you mentioned that the clinical module will be completed, submitted shortly, as well as the manufacturing by end of the year. Just curious if you can maybe characterize or quantify just the level of analytical and critical comparability that is necessary from omidubicel with extensions, not disclosing the patients now but just curious if there is a data set of patient number that the FDA would like to see for their comfort there? And then, just in terms of the preparations, great to hear all the color from Michele. I’m just curious, what has -- the extended timeline for rolling 4Q 2020 start BLA end of this year, and what does that afford you as far as that preparation and getting that launch right? And maybe just the final question there for Michele. Where are the gaps or the skeptical areas that are most likely to get in the way of realizing the omidubicel vision ultimately? Thank you very much.
Julian Adams: Yes. So, let me just start at a high level and turn it to Ronit to talk about the clinical module and the CMC requirements. We had a very detailed conversation with FDA in December. And we have very clear understanding of what they’re looking for in terms of CMC both analytical compatibility, as well as clinical compatibility from our commercial manufacturing sites. Ronit, do you have anything more to add?
Ronit Simantov: Yes. I think, we’ve shared data with FDA about our clinical results and we told them or shared with them our plans in terms of the new commercial facilities. We believe that submitting a high-level data on three to five patients will be sufficient for establishing that -- the clinical results are adequate to support production at those sites. So, that’s where we landed in terms of the new production.
Julian Adams: And Michele, the second part of the question to you.
Michele Korfin: Yes, absolutely, and thank you. And interestingly, there was a two-part question. They are actually both addressed in the same way. So, what the extra time allowed us for commercial readiness and any concerns around potential gaps, what we were able to do with the additional few months was identified where were there potential challenges and how would we be able to overcome them? So, now we have that ability to address them proactively. It really came down to three key areas, one was hiring. So, as I mentioned, we have been able to take the opportunity to hire some great individuals with commercial experience, both on the commercial side and then on the operation side too. The two specific areas that we’ve also been able to proactively focus on just addressing challenges would be around manufacturing for commercial readiness and our actual commercial launch. So, manufacturing for commercial readiness, we’re making very, very nice progress at our facility in Kiryat Gat, just not only in terms of the FDA requirements for the BLA, but also for overall commercial supply, readiness upon FDA approval. So, that is moving along nicely to plan. And then, the second area around commercial readiness, this gave us some additional time to understand the needs of the transplant centers upon potential approval of omidubicel. And that’s in partnership with Ronit’s medical affairs team. We also have the opportunity to also partner with Ronit’s team to focus on the education of the commercial payers, and really making sure that they understand the great unmet need from omidubicel and understand the value proposition of omidubicel, both in terms of the clinical data and the health economic side. So, we’re excited about the progress on both the manufacturing and commercial side for launch readiness. So, Julian, I’ll turn it back to you.
Julian Adams: Yes. And, we hopefully adequately answered your question. Any further follow-up on your end?
Gregory Renza: That’s great. Thank you very much. I appreciate the color.
Julian Adams: Thank you.
Operator: Your next question comes from the line of Mark Breidenbach with Oppenheimer.
Mark Breidenbach: Hey guys. Thanks for taking the questions. This is related to some of the others that have already come up. But Julian, I was wondering if you could give us a little more color on why the CMC module is the rate limiting step in the BLA application for BLA filing? And have you reached an agreement with the FDA regarding sort of the criteria yet?
Julian Adams: Yes. I mean, it’s not uncommon that CMC is usually the rate limiting step for any product, but in particular in cell therapy, where there’s a lot more attention and just different criteria to be adequate for supplying the commercial marketplace. So, this is not unusual. Michele, you can probably reflect on your experience at Kite, when you were launching as YESCARTA.
Michele Korfin: Thank you, Julian. So, we received very clear feedback from FDA at the December Type B meeting. In terms of the requirements we needed to focus on for the CMC module, just one point to recall is we manufactured our Phase 3 omidubicel at a different Lonza facility. And we knew -- this wasn’t a surprise for us. We knew we were going to be transitioning commercial supply to Lonza, Netherlands facility, and also to Kiryat Gat. So, what the FDA had discussed with us in December and what we’re focused on now is the compatibility requirements that are needed for the commercial facilities as compared to the Phase 3. So, these are analytical compatibilities, the clinical data that we discussed, some of the methods validation work. All of that is mapped out and on track at our Kiryat Gat facility at this point time. Lonza, Netherlands had already begun some of the work on that. So, the big takeaway is FDA was very clear in December, and we’re now moving along nicely in partnership with our research colleagues and also our clinical colleagues to assure not only readiness for the BLA, but this also gives us the opportunity to assure readiness for the commercial supply from a manufacturing standpoint too.
Mark Breidenbach: Okay. That’s super helpful. And just a quick follow-up on GDA-201. Given that there are some key differences in the types of donors that you plan to use for your trial, and the fact that you’re using cryopreservation versus fresh product that we’ve seen in the academic sponsored study. I’m wondering if you have plans to present any preclinical, either in vitro cell filling essays or mouse data demonstrating equivalence between these two versions of GDA-201 later this year. Thanks.
Julian Adams: Thanks for your question. Tracey, I’ll turn that over to you as well. 
Tracey Lodie: Yes, sure. Thank you. Yes. As you point out, for our IND filing, GDA-201 will now be a completely off-the-shelf and cryopreserved product. It’s still from the same source from normal donor apheresis material. But just as a reminder, the clinical study that was done with collaboration with Minnesota was from a related donor. So, the majority of those were haplo donors whereas this will be completely allo. We do have plans to present some mechanistic work that we continue to do, understanding the further phenotype of our NAM expanded NK cells over this new manufacturing protocol, which is cryopreserved, and with our sites at presenting some of this work towards the end of this year at a conference, maybe likely ASH, but maybe another research conference. And at that time, we can present work on both pre-clinically and the compatibility between the fresh and the frozen that work is ongoing and in the lab in Israel. And we have done quite extensive studies to show that we maintain both the function and the phenotype with the expanded NAM NK cells, both at harvest and both after saw of the cryopreserved formulation, so that we will obviously present this data in the IND filing as well.
Operator: Your next question comes from the line of Gil Blum with Needham & Company.
Gil Blum: Hello, everyone, and thank you for taking our questions. So, just a quick one. We saw something of a trend with the overall survival in the pivotal study. Any thoughts on conducting an outcome study, maybe post approval or do you have any plans in that direction?
Julian Adams: So indeed, we saw strong trend for overall survival. I would remind you that we were not powered for overall survival. And let me invite Ronit to further comment on follow-up of our patients.
Ronit Simantov: Absolutely, Gil. So, thank you. So, in terms of following additional information on patients, we will have additional follow-up for the patients in our Phase 3 study over time, and as well as patients who enroll in our expanded access study, which is basically a single arm study of omidubicel. Post approval, we don’t have any clear plans yet at this point on the type of follow-up that will do for patients in the real world. But, all patients who are transplanted in the U.S. are followed in the registry by CIBMTR. So, there may be an opportunity to leverage that in the post marketing setting.
Gil Blum: Excellent. And maybe kind of another question. So, we see a lot of different benefits for the NAM platform. Any thoughts about using this for gene therapy purposes? It allows the expansion of hematopoietic stem cells. And now, you’re looking at engineered hematopoietic stem cells. So, I believe this is really large there.
Julian Adams: It’s a very good point. And that is not lost on us. And we are exploring quite a number of avenues in the laboratory setting. And we have nothing to report at this time. But stay tuned because we think this platform will be the gift that keeps on giving, as we entertain other expansion of different cell types. And again, we think this is a universal expansion platform and are doing a lot of preclinical work to understand with greater specificity the mechanism of action and how this can be applied across the board.
Operator: There are no further questions at this time. And I’d now like to turn the call back over to Julian for any closing remarks.
Julian Adams: Thank you everyone for joining us on today’s call, and we look forward to an exciting 2021 and future engagements with you all. Thank you.
Operator: This concludes today’s conference call. You may now disconnect.